Operator: Thank you for standing by. This is the conference operator. Welcome to Extendicare Inc.'s First Quarter 2024 Analyst Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Jillian Fountain, Vice President, Investor Relations. Please go ahead.
Jillian Fountain: Thank you, operator. And good morning, everyone. Welcome to Extendicare's 2024 first quarter results conference call. With me today are Extendicare's President and CEO, Michael Guerriere, and our Senior Vice President and CFO, David Bacon. Our Q1 results were released yesterday and are available on our website, as is the live audio webcast of today's call, along with an accompanying slide presentation. An archive recording will also be available on our website following today's call. As well, replay numbers and passcodes for this call have been provided in our press release to access and an archived recording until March 22. Before we get started, please be reminded that today's call may include forward-looking statements and non-GAAP and other financial measures. Such forward-looking statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. We have identified such factors as well as details of non-GAAP and other financial measures in our public filings with the securities regulators and suggest that you refer to those filings. With that, I'll turn the call over to Michael.
Michael Guerriere: Thank you, Jillian. And good morning. We were very happy with our Q1 results. Our strong start to the year is a direct result of our strategy to grow our services business, while leveraging our joint ventures with Axium to support long-term care redevelopment. Year-over-year double-digit growth in our home care and managed services segments, combined with the sale of another long-term care redevelopment project into the JV with Axium, represent continued progress in our journey toward a less capital intensive, higher margin business model. The strategic transformation that started in 2022 has strengthened our balance sheet, providing us with greater flexibility in our capital allocation decisions. The demand for our services is clear, with managed services segment NOI doubling to CAD 8.7 million on a year-over-year basis. Our redevelopment program has good momentum with the opening of Countryside, our new 256-bed long-term care home in Sudbury in March, the sale of our 256-bed Orleans project into the Axium joint venture in April, and the sale of the vacated Class C home in Sudbury following the opening of Countryside. Taken together, these transactions demonstrate efficient capital allocation as we recycle capital from the sale of replaced legacy Class C homes into new redevelopment projects that we pursue through the Axium joint venture, where we earn development fees during construction, then management fees to operate the home in addition to our 15% ownership interest. These transactions, supported by our strong operational performance, helped strengthen our balance sheet in the quarter and improved our payout ratio to 69% on a trailing 12-month basis. As we continue to execute on our strategic agenda and focus on delivering strong operating results, we are well positioned for growth across all our business segments in 2024. As you can see on slide 4, we delivered strong growth across the business in Q1, driven by increasing demand for the services we provide. In long-term care, Q1 occupancy levels increased 90 basis points to 97.5%, above the threshold for full funding at the home level. This is a strong result considering the seasonal impact the winter months can have on occupancy. In home health care, we continue to drive strong growth, with average daily volumes increasing 11.4% from the prior year. Our volume growth continues to outpace demographic trends as we work to address significant unmet demand for services. We expect this to continue throughout the year as home health care services help to mitigate the significant capacity challenges faced by the rest of the health system. Our volume growth is a direct result of our focus on retention and recruiting to increase capacity. The success of these programs is evidenced by record high additions of new care staff in Q1, which gives us capacity for growth in future quarters. In our managed services segment, we also saw strong results following the Revera and Axium transactions which closed last year. Net operating income doubled that of the prior-year period and the number of Extendicare care assist beds grew 64% to just under 10,000 beds. The number of third party and joint venture beds served by SGP increased year-over-year by 23.7%, driven by both organic growth and the strategic transactions. After adjusting for one-time items, our managed services and home health care segments were responsible for 56% of NOI in the quarter. As we continue to execute on our redevelopment plan, we expect the proportion of NOI coming from services in these two segments to gradually increase. Rate increases are supporting margin recovery in long-term care as we recruit staff and reduce agency use. Increased care volumes combined with rate increases drove continued improvement in ParaMed NOI margins. We expect these trends will continue to strengthen home care margins in the coming quarters. Managed services margins are in the 50% to 55% range that we expect will be the norm for this segment. Turning to long-term care funding on slide 5. We've spoken for several quarters about the need to address the funding gap that arose from the significant inflationary pressures on our operating costs. This gap put a strain on our operating margins in long-term care in recent years. In March, the Ontario government announced a number of funding enhancements that go a long way to address the impact of inflation. On April 1st, the government implemented a 6.6% blended funding increase across all funding envelopes, resulting in incremental annual revenue of approximately CAD 21.3 million. We estimate CAD 12 million of this amount is applicable to the other accommodation envelope, representing an 11.5% increase, sufficient to address most of the inflationary gap and help to restore our net operating income to historic levels. Additionally, in Q1, the Ontario government provided one-time funding of just over CAD 2,500 per bed to help relieve financial pressures and address key priorities, including capital and operating needs in long-term care homes. As a result, we recognized one-time funding of approximately CAD 12.2 million in the quarter, of which CAD 9.2 million was retroactive to April 1 last year. In addition to the operating funding changes, Ontario reinstated the CAD 35 per bed per day time limited enhancement to the capital funding subsidy, which is available for all new projects that receive government approval to construct before November 30, 2024. A significant investment in home health care was also included in the Ontario budget, but rate details have yet to be announced. All of these funding increases will help return the seniors' care sector to long-term financial sustainability. On slide 6, we detail the considerable progress we've made in recent months on our redevelopment program. We were delighted to open Extendicare Countryside at the end of March. This is our new 256-bed home in Sudbury held in the Axium joint venture. It was heartwarming to see the reactions of residents as we welcomed them to their new home. Subsequent to quarter-end, we completed the sale of our fifth redevelopment project into the Axium JV for cash proceeds of CAD 20.1 million. This is a 256-bed home under construction in the Ottawa area. Additionally, in April, we completed the sale of the vacated Sudbury Class C home for cash proceeds of CAD 5.3 million. We now have five homes in the joint ventures with Axium currently under construction in Ontario, consisting of 1,280 new beds slated to replace 1,121 Class C beds. We remain on track to open two of these homes later this year in Kingston and Stittsville, and anticipate closing the sale of the vacated Kingston Class C building for estimated proceeds of CAD 3.8 million later this year. We continue to advance our remaining 15 redevelopment projects in Ontario, consisting of 3,032 new beds that will replace 2,211 Class C beds. With the increased operating funding and the enhanced capital subsidy in place until November, we are targeting to begin construction on up to four new projects this year. Construction costs, interest rates, and applicable regulatory approvals will be pivotal in determining whether and when new projects will meet the financial conditions necessary to pursue. Given the pace of long-term care redevelopment in Ontario, the government has acknowledged the need for the Class C long-term care homes to remain in service beyond June 2025 when the current licenses expire. Accordingly, it is offering license extensions of up to five years to qualified operators. As such, we have submitted our request for license extensions for all of our remaining Class C homes, while we continue to progress our redevelopment agenda. At this point, I'll turn it over to David Bacon to discuss our results in more detail.
David Bacon : Thanks, Michael. I'll start by reviewing our consolidated results for the quarter. As Michael mentioned, our Q1 results were impacted by a number of favorable one-time and out-of-period funding and compensation items. Keep in mind that last year's Q1 results were also impacted by one-time items, including COVID recoveries and prior-period LTC funding. We summarize these in the appendix to this presentation and I've referenced them on the applicable financial results slides. Given these impacts when I speak to the year-over-year variances, I will include references to our results excluding the impact of these one-time items. On a reported basis, consolidated Q1 revenue increased by 13.1% to CAD 367.1 million. Excluding the impact of out-of-period items and COVID recoveries, our revenues increased by CAD 50.3 million or 17.2%, resulting from operating improvements in all of our business segments, driven primarily by an increase in home health care, average daily volumes and billing rates, growth in managed services, and improved long-term care occupancy levels. Our Q1 NOI increased CAD 200,000 to CAD 44.7 million, with margin of 12.2% compared to 13.7% in the prior year. Excluding the impact of the out-of-period items and COVID recoveries, our NOI improved year-over-year by CAD 9 million, or 34.9%, reflecting the growth across all of our segments. Our reported adjusted EBITDA for Q1 decreased by CAD 800,000. Excluding the impact of out-of-period items and COVID recoveries, our adjusted EBITDA increased by CAD 8 million or 65.1%, reflecting the improvement in adjusted NOI, partially offset by modestly higher admin costs. Our AFFO per basic share in Q1 was CAD 0.21 compared with CAD 0.24 in the same period last year. And on an adjusted basis, AFFO increased year-over-year by CAD 0.04 per share to CAD 0.12 cents in Q1. Turning to our individual segments, starting with long-term care. Excluding the impact of COVID funding received in Q1 2023 and an increase in prior period funding, our revenue increased year-over-year by CAD 19.8 million, driven by funding increases, timing of spending and our improved occupancy. NOI, as reported, declined by CAD 8.4 million to CAD 25.3 million with an NOI margin of 12.3%. Excluding the net impact of COVID recoveries and increase in our prior-period funding year-over-year, NOI increased by CAD 400,000 as a result of funding enhancements and increased occupancy, partially offset by higher operating costs. The corresponding NOI margins declined to 7.9% in the quarter from 8.5% last year, due in part to margin compression from higher flow-through funding levels and our higher operating costs. As Michael mentioned earlier, thanks to the recent funding announcement from the Ontario government, the 11.5% increase in our OA funding is much needed recognition of the cumulative inflationary impacts we have been experiencing in many of our operating costs over the past few years. And the increase starting in Q2 will help to restore our NOI, which is critical to support the advancement of our redevelopment agenda. Turning now to our home health care segment, revenue in the first quarter increased by CAD 36.1 million. Excluding the benefit of CAD 13.6 million of revenue to support one-time compensation costs paid to our home healthcare staff in connection with the 6.7% rate increase we received in Q4 of last year, our revenue increased by CAD 22.5 million, driven by 11.4% year-over-year growth in our volumes and our bill rate increases. NOI increased by CAD 4.3 million to CAD 10.8 million. And adjusting for the flow through impact of the one-time compensation to staff in Q1, our NOI margin was 8.3%, an increase of 230 basis points over the same quarter last year. Turning to our managed services segment, we reported significant growth in both revenue and NOI this quarter, thanks to the addition of the new homes from last year's Revera and Axium transactions and continued organic growth in SGP. Our Q1 revenue increased by CAD 7.4 million or 76.5% and our NOI doubled to CAD 8.7 million. This quarter's NOI margin was 50.7%, an increase of 550 basis points over the same period last year. Finally, turning to our financial position, we ended the quarter with a strong liquidity position with cash of CAD 91 million and access to a further CAD 68 million in our credit facilities. In the first quarter, we successfully completed an extension to 2027 of approximately CAD 20.4 million in mortgages that were maturing in 2025, further improving our maturity profile. Subsequent to the end of the quarter, we received cash proceeds of approximately CAD 25.4 million from our redevelopment related transactions, which added to our liquidity position. And as Mike indicated, additional proceeds are expected from the sale of the land and building associated with the Class C home in Kingston once the new home is open later this year. Our strong operating results, solid debt metrics, and the added flexibility from our strategic transactions have us well positioned as we continue to assess our options for the convertible debentures that mature in the second quarter of 2025. With that, I'll pass the call back to Michael for his closing remarks.
Michael Guerriere : Thanks, David. The very positive start to the year gives us confidence that we have the right strategy and the team we need to execute against our plan. Continued growth and strong operating results demonstrate our ability to capitalize on the growing need for our services to drive shareholder value. The operating funding increases in Ontario largely address the inflationary gap that has weighed on our operating margins in recent years. With the final funding increase to staff our homes to achieve four hours of direct care per resident day, we are well positioned to provide excellent quality care to our residents. These investments are critical to ensure the long-term care sector is on sound financial footing, enabling us to expand capacity to meet the needs of the growing seniors population. The need for the critical services we provide has never been more apparent, and we have never been better positioned to answer the call. Of course, we could not do so without our dedicated team members, whose professionalism and compassion are central to achieving our mission of helping people live better. With that, we're happy to take any questions that you might have.
Operator: [Operator Instructions]. Our first question comes from Jonathan Kelcher of TD Cowen.
Jonathan Kelcher: First question, just on the long-term care, just trying to get a sense of what a good quarterly NOI run rate is. So, if you look at the 15-and-a-half million, and I think in the MD&A you talk about the 11.5% increase adding CAD 12 million, should we think of CAD 15.5 million as a starting place for that and it being additive to that?
David Bacon: I'd say a portion of that – the CAD 12 million number is an annualized number. So, just to clarify, I think that there'll be – a large portion of the CAD 12 million will fall to the bottom line, but there still are cost increases that will go against that as we think about – as our collective agreements have – increases that come throughout the year, they tend to be staggered. And so, there is going to be some of that doesn't fall to the bottom line. So I think that CAD 15 million is a reasonable starting point, but I wouldn't take the full CAD 9 million through against. I think there's going to be some spending against that as we still have some increases coming later in the year.
Jonathan Kelcher: CAD 9 million or CAD 12 million?
David Bacon: Sorry. I'm thinking in-year contribution. Sorry, Jon. I'm thinking the nine months. So CAD 12 million annualized. Yeah, just mixing the annualized versus the nine.
Jonathan Kelcher: So we should sort of think of those CAD 15.5 million, sort of think about 17-and-a-half-ish – CAD 17 million to CAD 18 million, is that a fair way to think about it?
David Bacon: It will be north of CAD 15 million. CAD 17 million, CAD 18 million, that's the – it's not a bad number, but we don't have a number that or guidance that we give on that, but it is going to be north of the CAD 15 million.
Jonathan Kelcher: I was getting the right way to think about it. On the home health care, we've had to good quarters of volume increases in the sort of the 3% range. Could we sort of think of that pace going – like, I think, Mike, in your opening remarks, you talked about getting a bunch of new staff coming on in Q1. Can we think about 3% volume growth or does that pace slow?
Michael Guerriere: At some point, Jonathan, the pace will slow. And we're not sure exactly what that point is. And what it'll slow to is probably somewhere in the 5% growth per year, which is what we think the overall market will grow at just because of demographic realities. But we are still seeing a considerable gap in care. There's still a considerable need that isn't being met across the healthcare system. So, our view is that we're going to see an accelerated pace of growth, at least for the next year. And we're just – it's hard for us to see when that catch up point is going to happen. But, right now, I don't see any slowing down of that pace of growth.
Jonathan Kelcher: And you're able to staff in order to accommodate all that growth? I guess that's the real question, right? Can you recruit your staff and your hours as much?
Michael Guerriere: I made the comment that we added more people in Q1 than we have in any previous quarter. So, we are able with our training programs and recruiting, on top of better retention, we're seeing lower attrition in our staff as well. So that is all combining to make for big increases in our capacity. So I think that what you've seen in terms of the run rate over the last six quarters gives you an indication that we are able to find the staff and add capacity at that pace. I think that's a reasonable kind of growth expectation in terms of what we're able to do with our staff addition.
Jonathan Kelcher: On the home health care increases, the funding increases that you are looking for from the government, should we think of those as something that's going to be additive to NOI, or will it be more like more flow through, like just straight and not really [Multiple Speakers]?
Michael Guerriere: Hard for us to predict, Jonathan, because they haven't announced – they have announced a large quantum of investment in the sector, but we don't know how it will kind of be applied. I think there is a very good chance that it will be an April 1 rate increase, similar to what we've seen in previous years, which at this point would be additive to our NOI to some degree. But, certainly, we're increasing wages and increasing the staff complement. So, exactly how that battle play out really, it's going to wait to see what those rate increases are and how they're structured.
Jonathan Kelcher: Last one for me. You talked about potentially starting four new projects. I guess two parts here. Would those be on balance sheet or potentially in the JV? And secondly, how should we think about your total CapEx spend for this year?
David Bacon: Jon, on your first part of the question, our intention is to have those new projects start and be done in the JV. So it'll just be more of a timing situation in terms of just getting through a successful tender. And if everything aligns, then we're going to move ahead on those projects. We'd be starting the process to move them into the JV. It'll just be a question of timing. So it could be a bit transient, but they will end up in the JV. We're hoping a little faster than our Orléans project was. And we're working with Axium and the government around just trying to streamline that process, so that we can move things faster. So that's where the intention is. In terms of CapEx for the year, I think there's no change in our kind of maintenance CapEx outlook. On the growth kind of CapEx side, we're targeting the four projects. We don't know if all four will go through or in the tendering process now. It'll take a couple of months to get crystallized at. So if you look at sort of our cost per bed, sort of in the CAD 380,000 to CAD 400,000 range with just under about a thousand beds we're looking at doing. So call it CAD 400 million-ish of potential construction, our 15% share of that. If you think about project [indiscernible], call it 75%. So you're talking about CAD 100 million of equity. So our pro rata share could be somewhere between CAD 10 million to CAD 15 million, depending on how many go, but that's over the life of the project. Even if we green light the three – whatever subset of those four projects by year and the impact this year would be pretty modest from a growth CapEx perspective.
Operator: Our next question comes from Pammi Bir of RBC Capital Markets.
Pammi Bir: Most of my questions have been answered. Really, just one follow-up in long-term care. When you strip out the one-time funding that you picked up in the quarter, the NOI levels did seem to drop from Q4. While there is some seasonality in that, was there anything sort of one time related that might have impacted the quarter? And is there any sort of maybe reversal or adjustment anticipated, if at all, with respect to that in the next – in Q2 or throughout the year?
David Bacon: Outside of the one-time in Ontario we adjusted for, I wouldn't say there's anything one time in Q1. There's a couple of things weighing on the margin percentage when you're looking at it either year-over-year or Q4. So on a year-over-year basis, the step up in the flow through funding impacts probably accounts for about half of that. Sort of 60 basis point drop is really just all the added flow through and funding from year-over-year. But we are experiencing some elevated operating costs still, particularly in the West in our LTC operations where we don't have the benefit of the flow through kind of impacts. So some select homes in the West are still running at higher operating costs than we like. And we're working through those. There are a couple of markets and areas that still have agency, high agency use, higher than we want it to be. But they're isolated to a handful of homes, but they do have a bit of an overhang. So I think as we move forward, they're not one-time, Pammi, but there's a lot of work and effort going into focusing on those handful of homes to get the operating cost structure back in alignment. The other last thing I'd add is we've got a lot of good news and it's on the Ontario side on LTC in the funding and budget. We are still waiting for the April 1 funding increases in Manitoba and Alberta. And similar cost pressures obviously in the West with inflation and a lot of hope that there's some recognition that there's – we need a bit of a catch up there too. So there could still be some news and the rate increases when they come that might be a bit of a – we're hoping for a bit of an outside adjustment to rates in the West to give a bit of recognition to the inflation pressures we're experiencing there as well. So, nothing really one-time, just some good block and tackle work in the field and a handful of homes where cost structures still need to get aligned and we're waiting for the funding announcements in the west.
Pammi Bir: I think in the West, with respect to, I guess, the funding increases that you're still waiting for, is there any sense that there may be again a bit of a catch up, sort of one-time announcement, or is it really just more forward looking that you get a bump like you did in Ontario on the OA envelope?
David Bacon: I'd say the latter. I think the expectations in the West are going to be more around prospective rate increases effective for April, as opposed to something catching us up. I think that's probably how we feel at the moment.
Operator: [Operator Instructions]. This concludes the question-and-answer session. I would like to turn the conference back over to Jillian Fountain for any closing remarks.
Jillian Fountain : Thank you, operator. That concludes our call for today. As a reminder, this presentation is available on our website as are the call-in numbers for an archived recording. Thank you for joining us, and please don't hesitate to contact Investor Relations if you have any questions. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.